Operator: Good morning, ladies and gentlemen, and thank you for standing by. Today's call is being recorded. I'll now turn the call over to Steven Price, Country Manager of Jamaica.
Stephen Price: Good morning, and welcome to Liberty Latin America's Second Quarter 2023 Investor Call. At this time, all participants are in listen mode only. Today's formal presentation materials can be found under the Investors section of Liberty Latin America's website at www.lla.com. Following today's formal presentation, instructions will be given for a question-and-answer session. As a reminder, this call is being recorded and will be available under the Investors section of our website. Today's remarks may include forward-looking statements, including the company's expectations with respect to its outlook and future growth prospects and other information and statements that are not historical fact. Actual results may differ materially from those expressed or implied by these statements. For more information, please refer to the risk factors discussed in Liberty Latin America's most recently filed reports on Form 10-K and the quarterly report on Form 10-Q most recently filed with the SEC, along with the associated press release. Liberty Latin America disclaims any obligation to update any forward-looking statements or information to reflect any change in its expectations or in the conditions on which any such statement or information is based. In addition, on this call, we will refer to certain non-GAAP financial measures which are reconciled to the most comparable GAAP financial measures, which can be found in the appendices to this presentation, which is accessible under the Investors section of our website. I would now like to turn the call over to our CEO, Mr. Balan Nair.
Balan Nair: Thank you, Stephen, and welcome, everyone, to Liberty Latin America's second quarter results presentation. I'll begin with our group highlights and an overview of our operating results by reporting segment. Chris Noyes, our CFO, will then follow with a review of the company's financial performance. After that, we will get straight to your questions. As always, I am joined by my executive team from across the region, and I will invite them to contribute as needed during the Q&A following our prepared remarks. As a point of housekeeping, we will both be working from slides, which you can find on our website at www.lla.com. Starting on Slide 4 and our highlights for the second quarter; we continued our operational momentum with another solid quarter in broadband and mobile postpaid, adding 52,000 subscribers to our base. Another quarter of solid performance in Cable & Wireless, Caribbean, especially Jamaica and in Cable & Wireless Panama. The positive results are driven by our focus on FMC with a 2 percentage point increase in penetration in both Jamaica and Panama in the first half of the year. We are the leading grower in fixed RGUs and one of the top in broadband growth among LatAm and North American operators. We have also made substantial progress with our Giga [ph] initiative. 77% of our home pass are currently gig ready, a 9 percentage point increase versus Q4 '22, and the goal is to reach 80% of the base by the end of this year. We reported adjusted OIBDA of $445 million in the quarter for the group, representing a 4% year-over-year increase. This is underpinned by 1% year-over-year rebased revenue growth, adjusting for the discontinuation of the slightly negative margin transit business as discussed last quarter. Sequentially, our Q2 adjusted OIBDA grew by 10%, reflecting positive financial momentum. These are some of the best numbers among telecom operators for the quarter. In addition, our OIBDA margin is now at 40%, with operating leverage, as shown by the revenue and OIBDA growth. We made significant steps forward in our equity buyback, repurchasing $132 million across our equity and convertible bond in the quarter. Since the beginning of the year, we have repurchased $82 million of shares and reduced the convert outstanding amount by quarter with the balance currently below $300 million. Finally, our integration work has continued to move forward with Costa Rica now close to finalize and Panama and Puerto Rico progressing well. In Puerto Rico, our new 5G mobile core and IT stack are operational. We have already migrated 35,000 prepaid customers, representing 1/4 of the base, and we have started migrating the first postpaid customers. We are working with leading global suppliers such as Salesforce and Ericsson to create cutting-edge infrastructure for the market. Turning to Slide 5. I'll begin our operating review with Cable & Wireless, Caribbean. The solid rebound of tourism in our islands continued in Q2, continuing the trend we observed in Q1 and supporting this segment's performance. On the left of the slide, we display our Internet and mobile postpaid additions. Internet additions of 7,000 compared positively year-over-year, representing an increase of nearly 70%. The main contributor was Jamaica. However, Bahamas is the fastest-growing market in percentage terms with 7% subscriber growth sequentially and 15% since the beginning of the year. The good performance in mobile with 16,000 postpaid adds this quarter was mainly driven by Jamaica well, continued focus on FMC and postpaid product is bearing fruit. Across fixed and mobile, we implemented strategic price increases in several markets, which have landed as planned with no material impact to churn. Moving to the center of the slide and our revenue by product; the pie chart here depicts the well-diversified nature of Cable & Wireless Caribbean's revenue with B2B and consumer fix, the largest elements followed by Consumer Mobile. We reported sequential growth in both mobile and fixed subscription revenue, driven by both volume and ARPU. Year-over-year, rebased revenue growth was flat in the quarter. Adjusting for the discontinuation of the transit business, this would have been 280 basis points higher. Organic growth was driven by higher mobile and fixed subscription revenue, benefiting from increased FMC penetration. Moving to Slide 6 in our C&W Panama segment. Starting on the left of the slide; Internet RGU adds were in line with Q1 and 75% higher versus the prior year. Our subscriber base is up 6% since the beginning of the year, supporting financial momentum. In mobile, our strategy of focusing on postpaid and high-value prepaid is yielding positive results as we delivered a modest increase in our postpaid base and prepaid losses were lower sequentially and year-over-year. Moving to the center of the slide and our revenue by product. In Panama, our largest products by revenue are mobile and B2B. Fix is the smallest product area, but one of the fastest-growing -- following the positive momentum in Q1, both fixed and B2B recorded strong rebased revenue growth in the second quarter, posting rebased increases of 8% and 7% year-over-year, respectively. Growth in fixed revenue was supported by higher broadband ARPU driven by customers contracting high P plans and higher-tier bundles. We are also making good progress decommissioning our copper network in Panama and are on-track to have this completed by the end of next year. In mobile, we saw improved recharge levels and usage for prepaid and lower acquisition and we catch in discounts in post. Finally, to our integration update outlined in the lower right of the slide. We are making good progress with the integration of Claro Panama's operations. The focus in Q2 was defining and implementing our client migration strategy and planning our network integration to modernize infrastructure and expand capacity and coverage. Given our progress with these initiatives, we are on track to deliver our synergy objectives, which also underpins growth in the second half. Next to Slide 7 and Liberty Puerto Rico, our largest single market. Starting on the left of the slide; we reported another quarter of Internet adds as our March price increases landed well with churn stable at about 1%. This is a testament to our strong customer service and network reliability underpinned by our investments in fiber-to-the-home. Since Q2 last year, we increased our fiber homes by 70%. In addition, we successfully launched our 1 gigabit speed across majority of our HFC footprint using DOCSIS 3.1. The take rate and upgrades have exceeded our expectations. Turning to mobile. Sequentially, our postpaid base stayed relatively flat, while we experienced a similar level of losses in prepaid. We are in a transitional phase. We plan to revamp our prepaid strategy and launch customer-centric postpaid customer value propositions as soon as migrations are completed. In this regard with the help of our commercial partners, we are working hard to build Beatport platforms that will enable us to be more effective in the market through custom FMC bundles and offering stilts specifically for the Puerto Rico and USVI market. Moving to the center of this slide; Consumer Mobile is our largest product in Puerto Rico, with just under 50% of our revenue. This is followed by our fixed business, representing 1/3 of the total and B2B at 16%. In Q2, fixed revenue was up 5% year-over-year, driven by the steady growth in our broadband base. Mobile subscription revenue remained flat sequentially. However, it was lower year-over-year. Finally, to our integration update on the lower right of the slide, we are continuing to migrate our prepaid customers to our new platforms. On the postpaid side, we have just started to bring across our first batches of customers and the migration rate will ramp up in the coming weeks and months. We are working closely with partners, including AT&T and Apple and expect to finalize the integration by end of the year. However, the process is clearly complex, and we are proceeding with customer experience being a first and foremost priority. Turning to Slide 8 and Liberty Costa Rica. Starting on the left of the slide, our fixed subscriber base remained broadly flat in Q2 with a small increase in churn following a price increase in May. In mobile, we recorded strong postpaid additions in the quarter, driven by our prepaid to postpaid migration strategy. According to the latest report by the regulator in 2022, we reconfirm our leadership with 46% of market share with postpaid market share increasing 5 percentage points versus 2021. Moving to the center of the slide; Consumer Mobile is our largest product with close to 60% share of revenue. This is followed by our consumer fixed business, representing just over 30% and then a small but fast-growing B2B operations. Finally, to our integration update in the lower right of the slide, integration activities continue to be on track. We expect to roll off the TSA and hit our run rate synergy target of $15 million by the end of the year. Finally, to Slide 9 in our Liberty Network segment. Starting from the left-hand side of the slide, I am pleased to announce that in Q2, we successfully completed our rebranding from C&W Networks to Liberty networks, a single brand across wholesale and enterprise, providing creative scale and consistency on messaging across multiple segments. The new brand with its fresh look on base customer centricity, innovation, reliability and performance which are the foundations of our competitive edge and growth potential. We are driving this segment in the region and -- hello inaugural Linx leadership event in Mexico earlier this year with our Top 100 customers, industry and global thought leaders where we discussed hot topics such as the impact of AI in LatAm and the Caribbean, fintech and technology disruption. Running through the wholesale and enterprise highlights on the right-hand side of the slide; wholesale accounting for 3/4 of the segment's revenue delivered 3% growth in the first half, mainly driven by capacity increases and upselling our existing customers and new capacity sales. Steady growth, mostly U.S. dollar-denominated revenue and low CapEx requirements underpins high cash flow conversion. Our unique multi-ring infrastructure remains a differentiating factor in relation to other networks in the region and a synonym for reliability. On the bottom right, enterprise, representing the remaining quarter of revenue posted a 13% increase, driven by higher demand for our connectivity, active churn management and cross and upselling of value-added services. Following our rebranding, we anticipate our solid pipeline to convert new customers in the months to come. Overall, Q2 was another solid quarter from a commercial and operational perspective. And we expect more progress in the second half of the year as we move to its finalization of our integration projects and drive greater free cash flow generation. We also plan to continue delivering value to our shareholders through our equity buyback program. With that, I'll pass you over to Chris Noyes, our Chief Financial Officer, who will talk you through our financial performance before we take your questions. Chris?
Christopher Noyes: Thanks, Balan. I'll now take you through our financial performance in greater detail, starting with our sequential performance on the left-hand side of Slide 11. Sequentially, on a reported basis in U.S. dollars, our revenue grew by 2% and adjusted OIBDA by 10% in the second quarter as compared to Q1 with our Panamanian business feeling the step-up as we have had good operating momentum and integration progress. As we look to improved H2 performance, all of our segments contributed to sequential adjusted OIBDA growth. Moving to year-over-year performance on the right-hand side of the slide. As a reminder, we deconsolidated our Chilean business at the start of Q4 2022. So our reported results in 2023 do not include the operating results of ETR. Additionally, our 2023 results include the results of Claro Panama, but do not include them in Q2 2022 as we began consolidation in last year's Q3. So a number of moving pieces, but overall, a solid performance with stable revenue and 4% rebased growth on adjusted OIBDA. As mentioned last quarter, C&W Caribbean reported revenue was impacted by a business decision to discontinue our legacy noncore B2B voice transit arrangement in Q1 2023, which was accounting for about $10 million of quarterly revenue and will have a similar impact in each of Q3 and Q4 until we start lapping the move next year. Adjusting for this, Q2 '23 revenue would have grown by 1% on a rebased basis year-over-year. For the full year 2023, we continue to target mid- to high single-digit rebased adjusted OIBDA growth for LLA. Slide 12 highlights our segment results. Beginning on the left with C&W Caribbean, we reported $356 million of revenue in Q2, reflecting flat performance and $146 million of adjusted OIBDA, resulting in an 8% rebased growth. Adjusting for the transit impact in the prior year period, revenue would have been 3% higher on a rebased basis. Our primary driver of growth was through residential mobile with service revenue expansion led by our postpaid efforts and higher inbound roaming. Our strong adjusted OIBDA rebased growth was largely fueled by lower direct costs, including programming and improved operating leverage across many of our islands. We finished the quarter with a margin over 41%, more than 300 basis points higher than the prior year quarter. Moving to Cable & Wireless Panama, CWP contributed $181 million of revenue and $59 million of adjusted OIBDA in Q2, reflecting 4% rebased revenue growth and 42% rebased adjusted OIBDA growth. Rebased top line growth was driven by residential fixed and B2B. Adjusted OIBDA grew strongly in Q2 as we captured value from the Claro Panama integration. Turning to the middle column, Liberty Networks; we generated $119 million in revenue or 5% rebased growth and $72 million in adjusted OIBDA for a 2% rebased decline. Year-over-year rebased revenue growth within our wholesale operations was driven by a significant customer that is recognized on a cash basis, while we reported strong growth across enterprise-related connectivity and managed services. As Balan highlighted, adjusted OIBDA experienced a rebased decline year-over-year as cost increased due in part to higher software licenses and lower capitalizable costs. Importantly, our adjusted OIBDA margin was above 60% for the quarter, and our operating free cash flow margin stood at a very robust 50% of revenue. Second from the right; Liberty Puerto Rico Q2 revenue was $352 million, reflecting a year-over-year rebased decline of 3%. Residential fixed continued to be robust, delivering growth on the back of volume gains over the past 12 months and price increases implemented in March. Residential Mobile decreased year-over-year driven by lower ARPU, lower roaming revenue, reduced equipment sales as subsidy levels were lowered and a decline in prepaid subscribers. Sequentially, our mobile service revenue and ARPU continued to be stable, while total mobile revenue was impacted by lower equipment sales due in part to a reduction in subsidies and seasonality factors. Adjusted OIBDA increased from Q1 as we delivered $141 million in the second quarter, which reflected a rebased decline of 3% as compared to Q2 2022. We several factors contributed to this year-over-year decline, including the aforementioned decline in mobile service revenue and higher operating costs. The next 2 quarters are a critical period for us from an integration and migration perspective as we look to cut over from AT&T, and we anticipate increased costs around the migration in H2 as the bulk of the consumer activity is expected to occur over the next several months. Wrapping up with Costa Rica on the far right, we delivered Q2 revenue of $135 million and adjusted OIBDA of $50 million, reflecting a rebased revenue decline of 1% and rebased adjusted OIBDA growth of 10%. Revenue performance was impacted by declines in ARPU caused by increased retention discounts and declines in higher ARPU plans. Adjusted OIBDA expanded significantly year-over-year, benefiting from lower integration spend and the year-over-year strengthening of the Costa Rican colon to the U.S. dollar as we have certain costs denominated in U.S. dollars. Slide 13 highlights our results for P&E additions and adjusted FCF and reiterates our 2023 FCF outlook. In the second quarter, we incurred $192 million of P&E additions or 17% of revenue. We built and/or upgraded 94,000 homes in the quarter, led by activity in the Caribbean and Panama, taking our half year figure to over 180,000. As part of our upgrade and new build program, we are also decommissioning copper plant and are on track to complete this by the end of next year. During the quarter, we incurred about $8 million of integration CapEx mainly in Panama and Puerto Rico and expect integration CapEx to remain elevated throughout H2. Finally, year-to-date, our CapEx as a percentage of revenue was 15%, and we remain on track to deliver our 2023 target of 16% of revenue. In terms of adjusted free cash flow, we posted $31 million in the quarter or $72 million before distributions to our partners in certain markets where we do not own 100% of local businesses. Our $41 million of distributions went to our government partners in Panama and Bahamas. Our Q2 cash flow represents an improvement from Q1, and we expect this to continue in the second half as we progress towards meeting our full year guidance of approximately $300 million for pre-distributions. Our 2023 cash flows will continue to be heavily weighted to Q4, as has been typical for us over the last years, given strong Q4 adjusted OIBDA performance and favorable working capital swings. Turning to Slide 14. At the end of Q2 on a consolidated basis, we had $8 billion of total debt, over $600 million of cash and $1 billion of availability under our revolving credit lines. Important to note that 95% of our debt stack is due in 2027 or beyond and 96% has fixed interest rates. The long maturity and fixed interest features of our balance sheet, coupled with significant liquidity result in a robust capital structure for the group. In terms of leverage, we have made good progress reducing levels in the first half. Through principally adjusted OIBDA growth, we have reduced our net consolidated leverage from 4.6x at year-end to 4.3x at June 30, while also aggressively continuing to repurchase our equity. Continued adjusted OIBDA growth and free cash flow expansion should further improve our net leverage ratio over the coming quarters. In the bottom right of the slide, it shows our equity and convertible repurchase activity over time. In H1, we repurchased a combined $181 million, as Balan highlighted earlier. This includes $132 million in Q2 and $50 million in Q1. The -- our convert purchases in Q2 were facilitated by $69 million in 3-year borrowings at a compelling 6.5% fixed rate, and we applied the proceeds to repurchase the convert at attractive discounts to par. Since quarter end, we have been able to further reduce the outstanding balance to below $300 million. Moving to the final slide and our closing remarks. We continue to add subscribers in key focus areas of broadband Internet and postpaid mobile, while also building our B2B business in the second quarter. Selective strategic price increases have been executed in our markets and together with volume growth, should form a good foundation for further top line progression. Integration execution continues to be a primary focus for both our corporate and local operating teams. We are reaching a key period across a number of projects as we seek to deliver our value capture goals and look forward to reporting further progress in the next earnings call. Turning to capital allocation; we significantly increased equity activity in the second quarter as the market pricing of both our equity and convertible notes provided us with what we thought were highly accretive opportunities to deploy our excess capital. We will continue to evaluate these opportunities as we progress in H2. And finally, we remain confident in delivering on our adjusted OIBDA, CapEx and adjusted free cash flow targets for 2023. With that, operator, please open it up for questions.
Operator: [Operator Instructions] The first question today comes from Vitor Tomita from Goldman Sachs.
Vitor Tomita: Two questions from our side. The first one is on Puerto Rico. The earnings release cites a reduction in handset subsidy levels that seems to have been a significant factor in results over there. Could you give me some color on that strategic shift on handset subsidies and any drivers for it? And second question would be regarding adjusted free cash flow. If you could give us just a bit more color on seasonality, in particular, when it comes to the working capital seasonality and drivers benefiting Q4.
Balan Nair: Thanks for the questions. So the first one on Puerto Rico, and I'll ask Naji to jump in here as well, who runs our operations there. As we got towards the end of last year, there was significant promotional activity on handsets and handset subsidies, mostly in the mainland U.S.A., which kind of bled into Puerto Rico as well. And we've been kind of experimenting with subsidies. In the first half of the year, you can probably see from our numbers that we've kind of reduced the subsidy levels in that promotional activity actually to send demographic and mostly around retention. And now we've looked at the results. We've been playing around with the repeat studying and analyzing it, our plans in the second half of the year is going to be slightly different than the first half of the year as we kind of fine-tune the subsidy levels. But as you can also see from the mainland, the AT&T, Verizon Timo [ph] results for the second quarter, it would seem like the subsidy levels are starting to decline a little bit. You've got to some ridiculous levels towards the end of last year. And so we're going to be more nimble on it. And Naji, maybe if you want to add any more comments to that.
Naji Khoury: Thank you. The only comment I would add is that part of optimizing the pool of subsidy, we have shifted a lot of the promotion to our higher-end plan and providing less promotion to the lower end. So that strategic move allowed us to be able to manage well the subsidies. But as Joan mentioned, approaching as we enter H2, that dynamic will change before the end of the year, for sure.
Balan Nair: Thanks, Naji. And then on the free cash flow, I think, I'll ask Chris to jump in here as well. But usually, in the second half, there's a lot of reversals in the working capital because the first half you like to pay vendors and you've got a lot of costs that hit you in the first half that kind of reverses itself in the second half. Chris, maybe you want to give a little bit more color [ph].
Christopher Noyes: I mean a couple of other factors. Certainly, adjusted OIBDA tends to be fairly strong in the last quarter of the year. Interest expense for us is the lowest in Q2 and Q4. And in addition, a number of our key collections of large accounts also tend to happen later in the year. And I would say the fourth point, kind of Marin what Balan said, CapEx tends to be weighted kind of towards the end of the year. So that rolls into the first part of the year when trade working capital in one. So those would be the factors. But if you look back over the years, Q4 for us has been really the sort of the cash generative quarter for several years.
Vitor Tomita: Thanks, Chris.
Operator: The next question comes from Soomit Datta from New Street Research.
Soomit Datta: Just a couple from me, please. First of all, on Chile, can you confirm that there has been no cash contributed into the JV this quarter? It doesn't appear that is the case. And so of the recently announced funding round, which I think was around US$600 million. Should we assume nothing is coming from Liberty? And is there anything more broadly we can infer about the future equity ownership of that JV. That would be the first question, please. And then secondly, on Panama, really good profitability, as you highlighted. How much of that was, if you like, synergy in the context of the $70 million guidance, which we've got for that market on a full run rate basis. How much have we seen so far? Is that running ahead of expectations? And how much more can we see come through in the second half of this year?
Balan Nair: Soomit, thanks. In Chile, we -- as to be disclosing, we can't confirm that we did not put any cash in it. And you can see from the other reporting that we did, it's mostly -- most of the contributions in the format you can say, convent at some point later, we will be sitting down with our partners on that. But the equity ownership of that business remains 50-50, and we are quite involved in that business. On the Panama part, if you look at some of the savings this year or what we just reported, synergies played a big role in it, but it's not more than like 55%, 60%, and the rest of it is from efficiencies that came out that we worked really hard on, and that's where the margin expansion came from. But synergies will contribute to it and they'll continue to contribute 2024 synergies become even larger. As we finish the store closures, full network migration, we're actually doing a customer migration in the next 10 days or so. And so a lot more activity is happening, and we've got a lot more to harvest there. But one of the good news in that expansion in margins is really also really good work by our operating teams on the ground.
Soomit Datta: Okay, great. So it sounds like there's sort of incremental savings ahead of the guided to synergies?
Balan Nair: Yes.
Operator: The next question comes from Andres Coello from Scotiabank.
Andres Coello: Just a follow-up on the question on Chile. So what I understood from the press release is that between you and America [ph], there will be a €600 million cash injection in Chile and that [indiscernible] will pay 50% of that. So is there something different to that? Or is it like contributing €200 million to EPR?
Balan Nair: So the contribution is from the other release, the €600 million additional that's been put into the business. And I think if you look at our numbers that is just published, you can probably come to the conclusion that we did not put our share in it. And I think the way to look at it is that this contribution is not an equity contribution but a debt piece of paper. And so that gives everybody a chance to take a look at the business, study it, understand it, contribute to it, both especially on the operating side. And I suspect in the next couple of years, we'll be more definitive on ratings.
Operator: [Operator Instructions] The next question comes from Matthew Harrigan from Benchmark.
Matthew Harrigan: I think my Chile questions were answered. But your sister company over in Europe has created about $3 billion plus of value on the venture side. I know Latin America is not exactly a hot bed for new venture activity and you prefer to invest in things that weren't incubated in-house. But nonetheless, is there some potential there. I know it loves is one of the top PCs in Mexico. I think they're number 3 or number 4. And clearly, you have a lot of infrastructure that various TMT initiatives to benefit from -- and I know it's small, but I thought it was an interesting point in advance.
Balan Nair: Sure. You -- let me see if I answer this in a way that makes sense. We have made a couple of very small venture investments, mostly to support start-ups that could be beneficial to us. So we made investments in alternative energy, made investments in fixed wireless access and -- but they're relatively small. It's not a core part of our story or is this a growth driver for us. It's really where we think there's interesting technologies that can be used in our region, and we need to support them and notate and provide some funding for them to finish the development, we would consider that. But we don't look at this as a separate business unit, a growth driver. Our business is in communications. It is in fixed broadband, it is in mobile, and we're going to try to stay very close to what we are really good at.
Matthew Harrigan: And needless to say, content is probably the last bucket you'd invest in because that really would be a considerable departure for leveraging your existing infrastructure, I assume?
Balan Nair: I think that would be a very, very good assumption.
Matthew Harrigan: Okay. Appreciate it.
Operator: That will conclude today's question-and-answer session. I'd like to hand back to Balan for any additional or closing remarks.
Balan Nair: Thank you, operator, and thanks, everybody, for taking the time this morning on our call. You can see we are making progress. And I suspect, as you look at over the last few years and the top therapy of neighbourhood, I think we have a good path here now. And the second half should be even more exciting than the first half. So thank you so much for your support. Have a great day.
Operator: Ladies and gentlemen, this concludes Liberty Latin America's second quarter 2023 investor call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Latin America's website at www.lla.com. There you can also find a copy of today's presentation materials. You may now disconnect your lines.